Operator: Good day, and welcome to the Willis Lease Finance Corporation Fourth Quarter 2024 Earnings Call. Today's conference is being recorded. We would like to remind you that during this conference call, management will be making forward-looking statements, including statements regarding our expectations related to financial guidance, outlook for the company and our expected investment and growth initiatives. Please note these forward-looking statements are based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect WLFC's views only as of today. They should not be relied upon as representative of views as of any subsequent date and WLFC undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect WLFC's reports on Form 10-Q, annual report on Form 10-K and other periodic reports, which are available on the Investor Relations section of WLFC's website at https://www.wlfc.global/investor-relations. At this time, I would like to turn the conference over to Austin Willis, Chief Executive Officer. Please go ahead.
Austin Willis: Thank you, operator, and thank you all for joining us. On our call today, I'm joined by Scott Flaherty, our Chief Financial Officer; and Brian Hole, our President. Willis has historically been a company of industry firsts. In the early 1980s, Charlie Willis created the first independent engine leasing platform. In 2005, we did the first aircraft engine ABS. In 2022, we were the first lessor to establish a presence in GIFT City, India. In 2023, we did the first engine JOLCO financing. Also in 2023, we were the first aviation ABS to reopen the market. And last year, once again, we created the first engine warehouse financing. 2024 was a fantastic year for our business, underpinned not only by innovation, but by solid execution and results. In the fourth quarter, we delivered strong financial performance. And on an annual basis, 2024 represents our strongest year as a publicly traded company, generating an industry-leading return on equity of 21%. Our fourth quarter and full year results were driven by the ongoing strength of our core leasing business. For the fourth quarter, our total revenues were $152.8 million and pre-tax income was $30.4 million. For full year 2024, our total revenues were $569.2 million and pre-tax income was $152.6 million. Our exceptional company performance has allowed us to return capital to our shareholders while still supporting growth and leverage targets. To that end, in February of this year, we paid our third consecutive quarterly dividend of $0.25 per share. I would also like to point out that we acquired nearly $1 billion in engines and aircraft in 2024, comprised of 35% current technology assets and 65% future technology assets like the LEAP and GTF engines that power the A320neo and 737 MAX aircraft. Some of these assets were on lease, but others were purchased off lease and then subsequently put on lease. When we acquire engines, some of these are serviceable, while others are immediately disassembled for parts, depending upon their remaining service life. Our success at profitably deploying capital is a testament to the platform we have built and our ability to maximize the value of these assets. Over the past year, we have enhanced our engagement with the investment community to improve its understanding of the strength of our platform and long-standing track record. We held an Analyst Day in December, and I encourage you to review those materials, which can be found in the Investors section of our website. One of the key attributes is our flywheel business model, which we believe is a differentiator for Willis, outpacing the sector in terms of value creation. Our business model also enables us to generate a premium return and greater investment opportunities than others in our space. We also outlined the multiple strategies currently being pursued by aftermarket maintenance and services providers to address the maintenance needs of a maturing fleet of CFM56 and V2500 engines. Specifically, there are three primary strategies that I will describe today. The first is the traditional MRO route, where an airline will send an unserviceable engine for a full overhaul. This is often the most expensive path, but we'll return the engine with the greatest amount of life remaining. Additionally, the process can take approximately six months to a year, during which the airline will need to lease in a spare engine if the airline doesn't already have one available. Just the spare engine lease could easily cost over $1 million, and that is if you can find a spare engine available to lease. The second route is through module optimization and exchange. This is a more bespoke solution that can offer time efficiency compared to a full overhaul. While this process is faster than an overhaul, the engine will still need to be sent to a repair facility like our two 145 engine MROs in the U.S. and the U.K. The modules will need to be exchanged and the engine needs to be sent to a test facility, tested and shipped back to the airline. The third option is constant thrust, a product that we have successfully fielded with multiple airlines over the past decade. This is where we do a sale and leaseback on the airline's fleet of aircraft or engines. And when an engine becomes unserviceable, we replace it with another from our fleet. The downtime for an airline is as little as one day. From an airline perspective, we feel constant thrust creates the most value. Not only is the downtime minimized, but the airline only pays for the time and cycles it consumes. Building on that, I'm proud to announce that as of last week, we signed another constant thrust deal, this time for more than 20 CFM56-7B engines. We expect that this will provide a good return for us and significant savings for our customer. Moreover, it will enable us to deploy a meaningful amount of capital in a single transaction and create more feedstock of engines that we can repair in our two MROs, sell or part-out. It's important to highlight this transaction because we believe constant thrust will become more and more sought after as airlines look to transition from legacy fleets into NEO and MAX aircraft, and also because it's a good example of how our different businesses operate in concert to create value. For example, when the unserviceable engines are returned to us from our customer, we sell some, repair some and disassemble others. The parts from the disassembled engines are funneled into our two MRO facilities to help get engines out the door faster and at lower cost for both ourselves and third-party customers. Finally, I want to reiterate how proud I am of our team for delivering sector-leading 2024 results. We have been in business for almost 40 years and have experienced consistent success by being innovators and having a deep understanding of our customers' needs and the assets that we manage. Our earnings reflect the benefits of scale and the premium we can achieve through our global platform. We run our business with transparency and integrity, and we are now starting to realize the fruits of our labor. And with that, I'll hand it over to Scott Flaherty, our CFO, to discuss our financial performance in greater depth. Scott?
Scott Flaherty: Thank you, Austin, and good morning, all. As you can see from our P&L, 2024 was a record year for Willis Lease Finance Corporation. The company produced earnings before tax, EBT, of $152.6 million. This performance was up $85.5 million or 127% from our prior year performance. Our stand-alone fourth quarter 2024 results of $30.4 million of EBT compared to $21 million in the fourth quarter of 2023, up $9.4 million or 44.8%. Walking through the P&L. Revenues for the year were $569.2 million, an all-time milestone for the business. Significant revenue drivers were core lease rent revenues for the year of $238.2 million and interest revenues of $11.7 million, which reflects interest income on long-term loan-like financings, which we have been offering as a product for several years. Growth in these lines items primarily reflect our increased total portfolio size of $2.87 billion at year end 2024. Our total owned portfolio is reflected on our balance sheet as equipment held for operating lease, maintenance rights, notes receivable and investments in sales-type leases. In 2024, the company purchased the equipment, including capitalized shop visit costs totaling $932 million. This growth was partially offset on the balance sheet by $126 million of equipment book value sales, $88.7 million of lease asset depreciation, $26 million of assets transferred to held for sale, a $11 million of impairment write-downs and $40 million of payments received against our outstanding notes receivable and sales-type leases. Maintenance reserve revenues for the year were $213.9 million, up $80.2 million or 60% from 2023. As you peel back the numbers, you can see that $39.4 million of these maintenance reserve revenues were long-term maintenance reserves associated with engines coming off lease and the associated release of any maintenance reserve liabilities. Long-term maintenance reserve revenues were up $24 million from the $15.4 million in 2023 as we had 20 engines and aircraft assets with long-term leases ending and having maintenance reserve realizations compared to six assets in 2023. $174.5 million of our maintenance reserve revenues were short-term maintenance reserves compared to $118.3 million in 2023. This 47.5% or $56.2 million increase in short-term maintenance reserve was influenced by our overall portfolio growth and more specifically, the increase in the number of engines on short-term lease conditions, the timing of revenue recognition of in-substance fixed payments and the systematic contractual increase in the hourly and cyclical usage rates on our engines. Spare parts and equipment sales to third-parties of $27.1 million in 2024 compared to $20.4 million in 2023, up $6.7 million or 33%. Our WASI sales channel provides a valuable outlet to recognize residual values on our engine portfolio, while also providing feedstock for our and our customer fleets in a tight parts market. Gain on sale of lease equipment, a net revenue metric, was $45.1 million in 2024 and was associated with $171.2 million of gross equipment sales, representing an effective 26.3% margin on such sales. This compares to a gain of $10.6 million in 2023 on $85.1 million of gross sales or 12.5% margin. In 2024, we sold or exchanged 43 engines and airframes compared to 29 assets in 2023. Our trading activities are an important part of Willis keeping the portfolio relevant. Maintenance service revenue, which represents fleet management, engine and aircraft storage and repair services and revenues related to management of fixed base operator services was flat to 2023 at $24.2 million in 2024. Gross margins were slightly negative at minus 1% as we are in the build-out stages of our fixed base operator services, which influence our aggregate margins. We believe that our maintenance service offering both enhance and create lease opportunities for the business and provides further vertical integration supporting the full cycle of the company's assets. On the expense side of the equation, depreciation for 2024 was up 1.7% to $92.5 million as we increased the portfolio size, but also manage portfolio profitability through strategic sales. Write-down of equipment was $11.2 million for the year, of which $10.4 million was from the fourth quarter, of which $6.3 million was related to our annual impairment review. Write-down of equipment in 2023 was $4.4 million. As an aside, as we go through our annual impairment process, we obtained appraisals on all of our engines and aircraft assets. When looking at our year end 2024 appraisals and comparing these appraisals to our 2024 year end asset book values, we see an excess market value beyond the book values captured on our balance sheet approaching $600 million. We believe that this highlights the effects of buying over the long-term, long-lived engine assets that tend to appreciate in value over time while they GAAP depreciate through the P&L. G&A was $146.8 million in 2024 compared to $115.7 million in 2023. G&A margins decreased from 27.7% to 25.8% as we benefited from the increased scale of the business. Increases in the overall G&A spend were predominantly related to personnel costs. Components of personnel costs driving the increase included approximately $14.4 million of share-based compensation, which was influenced by the rise in the company's share price throughout the year as well as one-time payments to the company's Executive Chairman and the company's President of $3 million and $1.7 million, respectively. Increased incentive compensation of $9.2 million, which is formulaically derived from consolidated pre-tax pre-incentive compensation earnings and approximately $9.2 million of wage increases due to hiring and general salary escalation as we grow the footprint of our overall business. Technical expense, which is predominantly unplanned maintenance was $22.3 million in 2024, which is down from $28.1 million in 2023. The $5.8 million decrease in technical expense was due to a lower level of engine repair activity throughout the year. Technical expense is generally unplanned maintenance, whereas engine performance restorations tend to be planned capitalized events. Net finance costs were $104.8 million in 2024 compared to $78.8 million in 2023. The increase in costs were related to an increase in indebtedness as total debt obligations increased from $1.8 billion at year end 2023 to $2.3 billion at year end 2025 as well as an increase in the quarterly average -- weighted average cost of debt, inclusive of our interest rate hedge positions from 4.22% in 2023 to 5.01% in 2024, which was partially influenced by the maturity of 2 interest rate swaps put on in 2021. The company also picked up $8.2 million in ratable earnings from our 50% ownership interest in our Willis Mitsui and CASC Willis joint ventures. The company produced $104.4 million of net income attributable to common shareholders, factoring GAAP taxes and the cost of our preferred equity, which was up 159% from our $40.4 million in 2023. Diluted weighted average income per share was $15.34 in 2024, up 146% from that in 2023. Cash flow from operations was up 23.8% to $284.4 million in 2024. The increase in cash flow from operations was driven primarily by the growth in pre-tax earnings and the related tax benefits. On the financing and capital structure side of the business, the company completed a series of financings and refinancings to diversify and increase its sources of funding to support the future growth of the business. In 2024, the company completed its third JOLCO financing, completed the company's and the industry's first-ever engine warehouse financing for $500 million, expanded and extended its preferred equity investment with the Development Bank of Japan and in the fourth quarter, refinanced and expanded its $500 million credit facility into a new five year $1 billion revolving credit facility. We continually look to diversify our sources of funding and minimize our overall cost of capital and have been successful accessing numerous markets over the years. We appreciate all the help we received from our banking and investor partners. In 2024, we were successful in returning capital to shareholders through a second quarter one-time special dividend of $1 per share and two subsequent regular quarterly dividends of $0.25 per share. Subsequent to year end, we declared and paid in February our third consecutive regular quarterly dividend of $0.25 per share. We believe that our ability to pay a recurring dividend speaks to the health of the business, provides our shareholders with a moderate current yield on their investment while not degrading the strong cash flow characteristic and equity growth of the business, which supports our overall growth. With respect to leverage, as defined as total debt obligations, net of cash and restricted cash to equity, inclusive of preferred stock, our leverage ticked slightly higher to 3.48 times in the fourth quarter from 3.25 times at the end of Q3 2024 as we took advantage of some year-end asset purchase opportunities to better position the company for the future. We will continue to target net leverage in the low-3s, recognizing that leverage may at times, as it did in Q4 of 2024, tick slightly higher as we execute on opportunities that enhance the characteristics of the overall business. With that, I will now open the call up to questions. Operator?
Operator: Thank you. [Operator Instructions] And we'll go to our first caller.
Louis Raffetto: Hi. You have Louis Raffetto from Wolfe Research. Good morning, guys.
Austin Willis: Good morning, Louis.
Louis Raffetto: Austin, maybe I was wondering if you could -- I mean you or anyone else on the team could update us on the engine market and sort of what you're seeing as it relates to values. Obviously, values were up really strong in the first half or so of 2024. Are you sort of continuing to see values rise? Have they stabilized at all? Obviously, the gain on sale margins jumped pretty strongly from 2023 to 2024. So just kind of looking for an update there.
Austin Willis: Yes. Thanks, Louis. We've seen a strong engine market generally, as you mentioned, and that's both on the whole engine asset side as well as parts. And on the parts side, it's not only the sales of parts, but also selling engines to third-parties as well. We do see some scarcity in the market for originating transactions for a typical engine that you might buy to put on lease to third-parties. That being said, we've been very successful at originating ourselves. And it's worth mentioning the value for assets right now, it makes it a little bit more difficult periodically to originate deals, but we're also beneficiaries on the sell side in the market. And as you mentioned, we've had a good gain on sale margin. But going back to originating transactions, we've been pretty darn successful at originating. And in fact, we have a pipeline that's considerably -- well, that's frankly very robust. And it's really a function of our ability to originate transactions where we offer some kind of added advantage to the customer. So if you look at somebody who's just buying an engine to try to put on lease to a third-party, I think they're going to face some challenge. But for us, and the constant thrust transaction I mentioned in my prepared remarks is a great example. We're seeing a lot of opportunities to originate and in this case, over 20 CFM56-7B engines where we can actually solve a problem for the customer. And in this particular circumstance, the problem is bridging them from a maintenance standpoint. So we're helping the customer to avoid shop visits where we're in-sourcing that maintenance, and they're really only paying for the incremental hours and cycles that they consume. I hope that helps.
Louis Raffetto: Yes, I appreciate it. Just a follow-up. You mentioned the two repair shops, one in the U.S., one over in Europe, I believe. I can't recall, do you have a test cell? Or is that something that you actually have to go out and sort of find for those engines where you do, do work on? And if that is the case, what's the availability of slots like?
Austin Willis: Thanks, Louis. We do not have a test cell. And you're right, we have 145 repair station work in the U.K. and another in the U.S. They do everything from borescopes to lease returns, preservation, teardown, QEC installation and heavy maintenance. We do not currently have a test cell. It's something that we are looking into. And it really varies. Sometimes it's difficult to get a test cell slot. Other times, there's a greater availability. So it just depends.
Louis Raffetto: Great. I appreciate it.
Austin Willis: You’re welcome.
Operator: We'll go to our next caller.
Eric Gregg: Hi. Eric Gregg from Four Tree Island Advisory. A few questions here. First up is the 30 engines you announced in December exercising the option on the LEAP-1A and LEAP-1Bs, even assuming inflation -- normal inflation escalators, given when you bought these, I'm assuming a pretty significant discount to where these are being listed in the market right now, maybe 30-odd percent. Is that a reasonable assumption?
Austin Willis: Yes. I can't speak to any discounts we may or may not be getting from the OEM on the new purchase side. I will say we've been successfully purchasing engines new from the OEM for quite a long time, and we've been good at both deploying those assets out on lease and recognizing the value when we sell them.
Eric Gregg: Great. And over what period are those engines likely to be delivered? Is that -- should we be expecting 2025 and 2026? There wasn't a lot of specificity in that news release.
Austin Willis: Yes. So we don't have a specific delivery date schedule yet. We expect to work that out in the coming months.
Eric Gregg: Okay. In terms of the announcement in June on the 15 Pratt & Whitney engines that were potentially purchased before year end, were all those purchased?
Austin Willis: There were nine, and those were purchased, yes.
Eric Gregg: Okay. And then there's been talk about the H1A HPT durability kits. Are those something that Willis is going to be investing in? And how long does it take to implement those durability kits?
Austin Willis: Yes. So the durability kits -- we do plan to implement some of those at the shop visits in the future, but it's a ways off, and it's going to be a while before those fully make their way through the fleet. There's a few different elements to the durability kit, though. It's not just the HPT blades. There's also other durability components like the reverse bleed system and optimized client trust. And actually, now that you mentioned, I'm pleased to mention that our 145 repair station completed its first RBS, reverse bleed systems installation, I believe, earlier this year.
Eric Gregg: Perfect. And just higher level, with these durability kits and as well as Pratt & Whitney being pretty close on its GTFA engines being certified, some of these newest technology engines are likely to become more durable and therefore, needing fewer shop visits. How is this impacting your plans for the growth of your MRO operations?
Austin Willis: Sure. So our MROs currently serve primarily the CFM56 and V2500 markets. We do limited work on the GTF and the LEAP, but we do intend to grow that into the future. It's hard to say what the ultimate result is going to be with the GTF advantage and the durability enhancements on the LEAP. I know there's some optimism that it will increase on wing life, and we certainly hope that, that's the case. But I think there's also a likelihood that this generation of equipment will have more shop visits than the previous generation. We also think that we're well positioned to take advantage of that, both on the leasing side and the MRO side.
Eric Gregg: That's great. And just one last one. The last couple of quarters, the earnings from the JVs have been a little bit thinner than they were in some of the prior quarters. In such a strong engine leasing environment, what do you attribute the lower levels of JV earnings for the last couple of quarters?
Austin Willis: We've seen the earnings from the JVs is doing pretty well. We think the JVs like our own company are going to benefit from scale over time as we continue to grow them out.
Eric Gregg: Thanks.
Austin Willis: Hold on. Scott, would you like to add anything to that?
Scott Flaherty: Yes. I think you'd see similar characteristics in the JVs as you see in our overall business. And I do believe that sometimes you see gain on sales in the JV businesses that provide some pops to the earnings in any specific period.
Austin Willis: Thanks, Scott.
Eric Gregg: Thank you.
Operator: And we'll go to our next caller.
Unidentified Analyst: Hi. Thanks for taking my questions. Can you talk about the difference between the fair market value of the engine portfolio and the book value of the engine portfolio today?
Scott Flaherty: Sure. I think as we mentioned or as I mentioned upfront, and actually as we've shown in some prior presentations with investors, I think about a year ago today, we highlighted to the investor group that looking at the book value of our overall portfolio and then looking at the market value as defined by the appraisals that we do on an annual basis on our portfolio, at that point in time, it was approaching a $400 million disparity in the value of -- that we see on our balance sheet and the value of market value of the assets. Now part of our thesis and part of the Willis thesis over the last 40 years is that these engines continue to appreciate over time as they depreciate through the P&L, right? So you're creating a disparity between the market value of the engine and what you're seeing on the book value. Well, that trend has continued. And as we did our year end appraisals in December of 2024, we compared the year end appraisals of our engines, the market value appraisals to the book values. And we've seen that, that disparity has increased to approaching $600 million today.
Unidentified Analyst: Got it. Thanks so much. Appreciate it.
Operator: [Operator Instructions] We'll go to our next caller.
Sergey Glinyanov: Hello, everyone. I’m Sergey Glinyanov from Freedom Broker. And I have a couple of questions. Just to begin, I want to take -- I want to give my congratulations because it's really a successful -- another successful quarter. And the first question is short-term non-reimbursable usage fees share of total quarter reserve revenue is about 74% -- what do you expect about the proportion of reimbursable and non-reimbursable revenue in 2025? And what trends do you impact on -- do you expect to impact on this and will push it ahead? And what the proportion of short and long-term part of portfolio you imply or expect for next year and beyond?
Scott Flaherty: Sure. Thanks for the question. Sergey, it was hard for me to completely understand your question, but I believe you were asking about the short-term maintenance reserves. And you can see that those have increased significantly on a year-over-year basis. And as I mentioned earlier, that's really been driven by the increased number in engines that we have on short-term conditions, which are non-reimbursable and which has been supported by the growth of our overall portfolio. We see this as a trend that will continue. And really, this has been supported a lot by the programs and the programs that we have been rolling out, which is supporting a lot of the engine transitions. We don't provide forecast for our business, but I would say that we expect to see this trend continue.
Sergey Glinyanov: Okay. Thank you. Got it. And last one is -- what are the main factors that drive take rates you expect? What if monetary policy won't be eased? Could you reduce pressure on margins and transfer this burden to rent price at least partially?
Austin Willis: Thanks, Sergey. I'm not 100% sure I understand the question, but I believe you're asking about interest rates and the impact on our portfolio. We've been able to reprice our portfolio historically as rates came up. And in fact, if you look at the ABS we did in 2023, I believe, we were the only ones to do one that year, we really reopened the market, and that was a function of our ability to reprice as interest rates increased. Is that generally answering your question, Sergey?
Sergey Glinyanov: Yes. Thank you.
Austin Willis: No problem.
Operator: We'll go to our next caller.
William Waller: This is Will Waller with M3F. Question on the long-term lease portfolio. I've heard just through the industry articles and conferences that the extension rate is above average. What are you guys experiencing on extensions of the long-term leases? Is it above average in your portfolio as well?
Austin Willis: Hi, Will. Yes, I think it's safe to say, I mean, the rate of extensions is higher than what it historically has been. That being said, we don't blindly extend our assets. We take it as an opportunity to reprice. So we are seeing more extensions, but we're also seeing a lot of opportunity there as well.
William Waller: So if you have a long-term lease that extends and you adjust the price, do you recognize the maintenance reserve income at that point in time? Or do you still defer it until the asset is returned?
Austin Willis: Generally speaking, we'll defer it until the asset is returned.
William Waller: Okay. And is it still -- the portfolio is still the mix similar to what it was at September 30, where it's about -- then it was 54% long-term and 46% short-term. Is it still roughly that mix at the end of the year?
Austin Willis: It's fairly consistent with that. But you brought up a mix of the portfolio. So I'll take that as an opportunity to talk about our modernization just briefly. I believe we announced in our last call that we were about 47% -- 46% or 47% of future technology assets. And as of the end of the year, we are at 53% future technology. So I think it's important just as we think about how the market changes and the transitions we're going to have going forward.
William Waller: Great. Thank a lot.
Austin Willis: Thank you.
Operator: And at this time, there are no further questions. I'll turn the call back to Austin for any additional or closing remarks.
Austin Willis: Thank you all for your time. Have a good day.
Operator: This does conclude today's conference. We thank you for your participation.